Operator:
Jeffery Boyd:
Dan Finnegan:
Operator:
Brian Fitzgerald - Jefferies:
Jeffery Boyd:
Brian Fitzgerald - Jefferies:
Operator:
Tom White - Macquarie:
Jeffery Boyd:
Daniel Finnegan:
Jeffery Boyd:
Operator:
Heath Terry - Goldman Sachs:
Jeff Boyd:
Operator:
Anthony DiClemente - Barclays Capital:
Jim Rogers:
Dan Finnegan:
Operator:
Douglas Anmuth – JPMorgan:
Jeffery Boyd:
Douglas Anmuth - JPMorgan:
Operator:
Naved Khan - Cantor Fitzgerald:
Jeffery Boyd:
Naved Khan - Cantor Fitzgerald:
Jeffery Boyd:
Naved Khan - Cantor Fitzgerald:
Operator:
Mark Mahaney - RBC Capital Markets:
Jeff Boyd:
Operator:
Aaron Kessler - Raymond James:
Dan Finnegan:
Jeff Boyd:
Operator:
Justin Post - Bank of America Merrill Lynch:
Jeffery Boyd:
Justin Post - Bank of America Merrill Lynch:
Jeffery Boyd:
Operator:
Steven Jew - Credit Suisse:
Jeff Boyd:
Operator:
Brian Nowak – Nomura:
Jeff Boyd:
Dan Finnegan:
Operator:
Mike Olson - Piper Jaffray:
Jeffery Boyd:
Mike Olson - Piper Jaffray:
Operator:
Kevin Kopelman - Cowen and Company:
Jeffery Boyd:
Kevin Kopelman - Cowen and Company:
Operator:
Michael Millman - Millman Associates:
Jeffery Boyd:
Daniel Finnegan:
Michael Millman - Millman Associates:
Daniel Finnegan:
Operator:
Daniel Finnegan: